Operator:
':
':
Tomás Lajous – UBS Casa de Bolsa, S.A. de C.V.: 
':
':
Daniel Hajj Aboumrad: Thank you, Tomás. Thank you everyone. Carlos, as always, is going to make summary of the results.
Carlos García Moreno Elizondo: Thank you, Tomás for hosting the call. Good morning, everyone. In spite of the increased uncertainty experienced worldwide in the last quarter of 2011 with high financial volatility stemming from the European crisis and a still weak U.S. economy, the tone of the Latin American markets continued to be strong throughout the end of the year. América Móvil thus posted a 13% increase in gross wireless subscriber additions in that quarter relative to the prior year, hitting a record in Brazil at nearly 10 million and continuing strong in Mexico with 9.1 million. América Móvil finished the year with 300 million accesses, of which 242 million were wireless subscribers, and 58 million were revenue generating units on the fixed-line platform. We added 16.7 million subs in 2011, including 304,000 subs in the fourth quarter. The latter figure reflects the connections affected in the period after the introduction of a change in the methodology used to count for subscriber statistics in Mexico, Colombia and Ecuador. In particular, we are now excluding from the subscriber number those lines that have not had any air-time recharge during the second period, the churn period. In the absence of the change in methodology, we would have posted lower churn rate in all three countries relative to the fourth quarter of 2010. We continued making inroads in the postpaid segment across our operations, adding 1.6 million subs in the fourth quarter and 6.1 million in the full year. Our postpaid base increased to 20.5% in 2011, except for Panama. In all our operations, the postpaid base increased more rapidly than the prepaid one. Our RGUs, revenue generating units, rose 12.3%, driven by a 15.6% increase in broadband accesses and a 33.1% jump in pay TV revenues. The number of landlines increased 3.4%. Our fourth quarter revenues totaled 182 billion pesos. They were 12.3% higher than the year before with wireless revenues, which account for two-thirds of the total, expanding 15.4%.
': EBITDA was held back somewhat by subscriber acquisition costs that remained high in the wireless and pay TV space, and by expenses associated with the integration of the fixed and mobile networks, and more generally with our vast investment program. Our operating profit increased 15.1% from the year before to 38.3 billion pesos, partly as a result of 9.7% reduction in depreciation charges, since at the end of 2010 we had booked extraordinary charges as we began to integrate the fixed and mobile platforms after the acquisition of Telmex Internacional. The depreciation of the peso in the quarter, and the increase in net debt throughout the year as we purchased stock of Telmex and other entities, brought about an increase in our comprehensive financing costs, which totaled 11.1 billion pesos and were an important factor in the reduction of our net income to 16.3 billion pesos. Whereas in the last quarter of 2010, we had posted significant foreign exchange gains. In the fourth quarter of 2011, we raised an even greater foreign exchange losses and that is playing for the most part showing a net profit. Our net debt rose from 207 billion pesos at the close of 2010 to 321 billion pesos last December to help us fund 70 billion pesos in stock purchases and 54 billion pesos in share buybacks. Our cash flow from operations more than covered our capital expenditures of 121 billion pesos and dividends of 17 billion pesos throughout 2011. Well, thank you for listening, and I will pass it back to Tomas.
Tomás Lajous – UBS Casa de Bolsa, S.A. de C.V.: 
':
Operator: Thank you. (Operator Instructions)
Tomás Lajous – UBS Casa de Bolsa, S.A. de C.V.: 
':
':
Daniel Hajj Aboumrad: 
':
':
':
':
':
':
':
':
':
':
':
Tomás Lajous – UBS Casa de Bolsa, S.A. de C.V.: Great. And I guess my second --
Daniel Hajj Aboumrad: 
':
Tomás Lajous – UBS Casa de Bolsa, S.A. de C.V.: 
':
Daniel Hajj Aboumrad: 
':
Óscar Von Hauske Solís: Yes. Well as you know, as Daniel mentioned, we are an integrated telecommunication company. So we have the wireline business. We are expanding our reach in the wirelines. We are building home passes in some of the countries, mainly in Brazil. We are building new home passes. And as you know, data is growing pretty rapidly, not only in wireline, as well in wireless. Talking about wireless, we need to get closer the network. We need to get close with the fiber to our customers. So we are extending the wireless network in all the countries. Mainly in Brazil and Mexico we are doing a lot we call D notes, that is to extend the reach of the wireless network to improve the data connectivity. I think that we are negotiating in all the countries doing this extension. We will see that by second quarter, we will have 50% of the radio stations already connected with fiber that will allow us to deliver a very good quality and increasing our value from what we started. Another thing is that as you mentioned we are integrated the networks to just a single IP network. So we are going to handle all the traffic there through this unified IP backbone that will include broadband wireless, wireline, pay TV and voice in a unified and seamless network. We are working on that. The major integration that we have to make is in Brazil. As you know, we have ladder network, net network, and then Brazil network. We have [employees] [ph] that we are monitoring constantly to improve that. And it will take like one year to have a full integrated network in the case of Brazil.
Carlos García Moreno Elizondo: 
':
':
Óscar Von Hauske Solís: And better costs.
Carlos García Moreno Elizondo: And better costs, better quality.
Tomás Lajous – UBS Casa de Bolsa, S.A. de C.V.: Great, thank you very much, gentlemen. I think that with that we can probably move on to the open Q&A. So Sean, if you want to start the questions.
Operator: Absolutely, thank you. I have a question from Michel Morin with Morgan Stanley. Please go ahead.
Michel Morin – Morgan Stanley & Co., LLC: Good morning, everyone. Carlos, maybe I should know the answer, but just for the benefit of everyone else on the phone, could you explain to us the reasons why the country-by-country EBITDA has changed? When you look at the last year numbers specifically in some countries there were very significant restatements to the EBITDA that you reported a year ago, 8% or 9% changes in Brazil and other countries.
':
':
Carlos García Moreno Elizondo: Well, Michel thanks for the questions. We set a full set of our statements to keep to the Mexican Bolsa so that you can look at all the exact numbers there. You can see the full continuation there. Net-net for the group as a whole it leads to an increase of 1.9% in EBITDA, that being higher last year than what was actually reported. And net-net it means that the level of the overall net income, it was essentially unchanged.
':
':
Michel Morin – Morgan Stanley & Co., LLC: It was related to trying to quantify the impact on EBITDA from the construction costs that you expensed.
Carlos García Moreno Elizondo: 
':
':
':
':
':
':
':
Michel Morin – Morgan Stanley & Co., LLC: 
':
Carlos García Moreno Elizondo: 
':
':
':
Michel Morin – Morgan Stanley & Co., LLC: 
':
Carlos García Moreno Elizondo: Yes, happy to do that.
Michel Morin – Morgan Stanley & Co., LLC: Thank you.
Carlos García Moreno Elizondo: Thank you.
Operator: Our next question comes from Ric Prentiss with Raymond James. Please go ahead.
Ric Prentiss – Raymond James & Associates, Inc.: Thanks, a couple questions. First, on Mexico, when you cleaned up the subscriber base, was this just a one-time effect or do you expect further cleanups as it goes on? And what will be the effect be on ARPU as we think through 2012 on the subscriber cleanup?
Carlos García Moreno Elizondo: 
':
':
Ric Prentiss – Raymond James & Associates, Inc.: Sure.
Carlos García Moreno Elizondo: 
':
':
':
':
':
':
':
':
':
Ric Prentiss – Raymond James & Associates, Inc.: 
':
Carlos García Moreno Elizondo: 
':
':
':
':
':
':
Ric Prentiss – Raymond James & Associates, Inc.: And as far as net adds in 2012?
Carlos García Moreno Elizondo: Net adds in 2012; well, I think in mobile maybe 14 million to 15 million subscribers, 14 million, maybe 14 million is more accurate to say.
Ric Prentiss – Raymond James & Associates, Inc.: Great, thank you.
Carlos García Moreno Elizondo: Thank you.
Operator: Our next question comes from Vera Rossi with Barclays. Please go ahead with your question.
Vera Rossi – Barclays Capital, Inc.: Thank you. My question is about Brazil. In your press release you mentioned that you have almost 10 million clients in pay TV. However, when we look at the Anatel information, the Net Services and Embratel have combined approximately $7 million. What is the type of access you consider pay TV in Brazil to get to the 10 million subscribers? Thank you.
Carlos García Moreno Elizondo: 
':
Vera Rossi – Barclays Capital, Inc.: Okay, thank you. And in terms of the impact in margins of the pay TV content, what will be the breakeven point in terms of number of pay TV subscribers in which the content costs stops negatively impacting the EBITDA margin?
Carlos García Moreno Elizondo: 
':
':
':
':
':
Daniel Hajj Aboumrad: 30%.
Carlos García Moreno Elizondo: 
':
':
':
Daniel Hajj Aboumrad: 
':
Vera Rossi – Barclays Capital, Inc.: Okay. And do you still have the target to get to 20 million BTZ users in Latin America in the next three to four years?
Daniel Hajj Aboumrad: Yes, for sure.
Carlos García Moreno Elizondo: 
':
':
':
':
Daniel Hajj Aboumrad: Yeah. Basically, penetration in some of the countries is still very low, so we think there is room to grow.
Vera Rossi – Barclays Capital, Inc.: Okay. And my last question is in terms of uses of cash. Assuming that you already acquired most of the free float of AMX subsidiaries, what do you expect to do with your free cash flow in 2012?
Carlos García Moreno Elizondo: 
':
':
':
':
':
Daniel Hajj Aboumrad: 6%.
Carlos García Moreno Elizondo: 
':
':
':
':
Vera Rossi – Barclays Capital, Inc.: Okay, thank you, very nice.
Carlos García Moreno Elizondo: Thank you, Vera.
Operator: Our next question comes from Walt Piecyk with BTIG. Please go ahead with your question.
Walter Piecyk – BTIG, LLC: 
':
Operator: 
':
Daniel Hajj Aboumrad: Sorry, Tomás. Carlos pushed the wrong button.
Operator: (Operator Instructions)
Daniel Hajj Aboumrad: 
':
Óscar Von Hauske Solís: 
':
':
':
':
':
':
':
':
Walter Piecyk – BTIG, LLC: Okay, can you hear me now?
Óscar Von Hauske Solís: Yes.
Walter Piecyk – BTIG, LLC: 
':
Óscar Von Hauske Solís: 
':
':
':
Walter Piecyk – BTIG, LLC: 
':
Carlos García Moreno Elizondo: 
':
':
':
':
':
Walter Piecyk – BTIG, LLC: So Daniel, when do you think LTE will be available broadly in kind of all the major cities in Latin America? Is that an end of 2013 event or earlier?
Daniel Hajj Aboumrad: 
':
':
':
':
Walter Piecyk – BTIG, LLC: Great, thank you very much.
Operator: Our next question comes from Richard Dineen with HSBC. Please go ahead.
Richard Dineen – HSBC Securities USA, Inc.: 
':
':
':
':
Daniel Hajj Aboumrad: 
':
':
':
':
Carlos García Moreno Elizondo: Net debt to EBTIDA.
Daniel Hajj Aboumrad: Net debt to EBITDA, again, can you repeat that?
Richard Dineen – HSBC Securities USA, Inc.: 
':
':
Daniel Hajj Aboumrad: 
':
':
':
':
Richard Dineen – HSBC Securities USA, Inc.: Okay, thanks very much, guys.
Daniel Hajj Aboumrad: Thank you.
Operator: Our next question comes from [Fernando Remis with GB Global] [ph].
Fernando Remis – GB Global:
':
':
':
Carlos García Moreno Elizondo: 
':
Fernando Remis – GB Global: Okay, great, thanks a lot.
Operator: Our next question comes from Stanley Martinez with Legal & General Investment.
Stanley Martinez – Legal & General Investment Management America, Inc.: Thanks very much. Just first a couple of quick questions on cash flow. To return to the cash tax points, Carlos, could you dimension exactly how much that cash tax delta would be in 2012 versus 2011? And also on CapEx, does the $8.5 billion to $9 billion guidance there for 2012 contemplate a video license at Telmex? And if not, how much of an additional factor might that be either for pay TV customer premise equipment or to harden the network for video?
Carlos García Moreno Elizondo: 
':
':
':
Stanley Martinez – Legal & General Investment Management America, Inc.: 
': And if not, maybe you could talk broadly about your ambitions for revenue, market share or operating income growth that -- collateral in Brazil.
': And if not, maybe you could talk broadly about your ambitions for revenue, market share or operating income growth that -- collateral in Brazil.
': And if not, maybe you could talk broadly about your ambitions for revenue, market share or operating income growth that -- collateral in Brazil.
Carlos García Moreno Elizondo: 
':
':
':
': We have very good data capabilities and very good coverage, which is increasingly important for both the clients, and on top of that we have not gone into the country numbers of the SIM cards, but simply we have been more conservatively going after the prepaid clients.
': We have very good data capabilities and very good coverage, which is increasingly important for both the clients, and on top of that we have not gone into the country numbers of the SIM cards, but simply we have been more conservatively going after the prepaid clients.
Daniel Hajj Aboumrad: 
':
':
':
':
Stanley Martinez – Legal & General Investment Management America, Inc.: Is it fair to say that, Daniel, that prepaid growth as a proportion of your net adds, that we should just expect to see more variability with respect to service margins, not just in Brazil, but across the group in the quarters where you have high customer activity, like Q4 and Q2?
Daniel Hajj Aboumrad: 
':
':
':
Tomás Lajous – UBS Casa de Bolsa, S.A. de C.V.: Maybe we can move on to the next question.
Stanley Martinez – Legal & General Investment Management America, Inc.: Thank you.
Carlos García Moreno Elizondo: Thank you.
Operator: Our next question comes from James Ratzer with New Street Research. Please go ahead.
James E. Ratzer – New Street Research, LLP: 
':
':
':
':
Carlos García Moreno Elizondo: I will ask Carlos Robles from Telmex. He will be answering the first question.
Carlos Robles: Sure, regarding your first question of the security, this is a project that has been going on for the last three years. And during this quarter there was an important delivery of the product and of the services. Therefore the impact on the data revenues, if you take apart this project from the data revenues, the increase would be up 8.4% in the quarter, on a yearly basis up 7.6%. So that is kind of the impact that you might see. So therefore in the quarter the impact was of around 15% of the revenues of the data. Then regarding your second question of the fixed to mobile rate, we have been mentioning that we are passing through all the benefits of the reduction in the interconnection tariffs to the customers. Therefore we are reducing the rate from 1.35 pesos per minute to 0.71 pesos. And what we would expect is to see an increase in the traffic due to these rate reductions. Yes?
James E. Ratzer – New Street Research, LLP: Okay, thank you very much.
Carlos Robles: Thank you.
Carlos García Moreno Elizondo: Welcome.
Operator: Our next question comes from Gil Alexandre. Please go ahead.
Gil Alexandre – Darphil Associates: Good morning. On your data transmission, could you give us an idea of the size of it and how fast it could grow in Mexico and Brazil over the next few years?
Daniel Hajj Aboumrad: 
':
':
':
':
':
':
Carlos García Moreno Elizondo: I think in terms of the potential, what we have said for some time now is we believe that we are going to be able to duplicate things in mobile penetration in the course of three or four years and that in the case of mobile broadband, where mobile broadband is today, and the postpaid clients basically, the prices of smartphones have fallen significantly over the last year, year and half. And that is allowing us to migrate more rapidly postpaid client to smartphones. That is something that we think will continue.
':
':
':
':
':
':
Gil Alexandre – Darphil Associates: Next question; again, getting back to your EBITDA margins in Mexico, [indiscernible] bottomed out.
Carlos García Moreno Elizondo: 
':
Gil Alexandre – Darphil Associates: Excuse me. With reference to your EBITDA margins in Mexico, can one make the case that your EBITDA margins have basically bottomed out or is the negative trend going to continue for a while?
Carlos García Moreno Elizondo: 
':
':
Gil Alexandre – Darphil Associates: And if you look at Brazil --
Carlos García Moreno Elizondo: 
':
':
':
Operator: Yes. Go ahead, please.
Carlos García Moreno Elizondo: No. Next question, please.
Operator: Our next question comes from Andrés Medina Mora with GBM. Please go ahead.
Andrés Medina Mora – GBM Research: Thank you, good morning. I was wondering where you would expect to see your data revenues as a percentage of service revenues going forward probably by the end of the year? And you were also mentioning the integration in Brazil; should we expect to see higher level of integration in between the Mexican companies? Thank you.
Carlos García Moreno Elizondo: 
':
':
':
':
Óscar Von Hauske Solís: 
':
':
Carlos García Moreno Elizondo: 
':
Óscar Von Hauske Solís: IT.
Carlos García Moreno Elizondo: IT.
Óscar Von Hauske Solís: Datacenters.
Carlos García Moreno Elizondo: 
':
':
Daniel Hajj Aboumrad: 
':
Tomás Lajous – UBS Casa de Bolsa, S.A. de C.V.: Okay. And Sean, maybe we can move on to the last question today.
Operator: Our final question comes from Jim Breen with William Blair. Please go ahead.
Jim Breen – William Blair & Co., LLC: Thank you, just a couple of clarifying questions. On the CapEx side, $8.5 billion to $9 billion, can you talk about the proportion of that where you think you should be spending it in Brazil and Mexico? And then also as you talk about transitioning to data, can you first talk about what you think your smartphone penetration is right now amongst your postpaid customer base? And then where do you think the bottleneck is in terms of getting speeds for 3G and eventually LTE up and running?
Carlos García Moreno Elizondo: 
':
':
':
':
':
':
':
Jim Breen – William Blair & Co., LLC: 
':
':
Carlos García Moreno Elizondo: 
':
':
Jim Breen – William Blair & Co., LLC: Great, thank you very much.
Carlos García Moreno Elizondo: Thank you. Thank you, Tomás and thank you everyone for being in the call.
Tomás Lajous – UBS Casa de Bolsa, S.A. de C.V.: Thank you, Daniel. Thank you Carlos, Carlos, Óscar, Daniela, thank you everybody for being on the call. And I think that concludes our call for today.
Carlos García Moreno Elizondo: Thank you.
Daniel Hajj Aboumrad: Thank you. Bye-bye.
Operator: 
':